Operator: Good morning. My name is Kranisia and I will be your conference operator today. At this time, I would like to welcome everyone to the earnings call. [Operator Instructions] Thank you. I’d now like to turn the conference over to Ms. Stalmack. Ma’am, you may begin.
Kathryn Stalmack: Good morning and thank you for joining us today. By now, you should have received a copy of our press release issued this morning. If you’ve not received it, you may access it through the Investor Relations section of our website. Dan Greenleaf, President and Chief Executive Officer; and Steve Deitsch, Senior Vice President, Chief Financial Officer and Treasurer, will host this morning's call. The call may be accessed through our website at BioScrip.com. A replay will be available shortly after the call and will remain available for a period of two weeks. Interested parties can access the replay by dialing 855-859-2056 in the U.S. and entering access code 51901836. An audio webcast will also be available for 30 days following the call in the Investor Relations section of the BioScrip's website at www.bioscrip.com. Before we get started, I'd like to remind everyone that many of our comments may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act. Such forward-looking statements are based upon current expectations and there can be no assurance that the results contemplated in these statements will be realized. Please refer to our press release and our reports filed with the SEC where you will find factors that could cause actual results to differ materially from these forward-looking statements. These forward-looking statements are based on information available to BioScrip today and the company assumes no obligation to update statements as circumstances change. During the presentation, we will refer to adjusted EBITDA, a non-GAAP financial measure. A reconciliation to the most comparable GAAP financial measure is contained in our press release issued this morning, which can be obtained from the Investor Relations website of our website at bioscrip.com. And now, I would like to turn the call over to Dan Greenleaf. Dan?
Dan Greenleaf: Thanks, Kathryn. Good morning, everyone, and thank you for joining us. This morning, I'll be providing an update on our second quarter performance, also provide comments on other areas of interest, including recently proposed legislation, our contract with UnitedHealthcare and thoughts on future opportunities that lie ahead for BioScrip. Steve Deitsch, our CFO, will then provide additional financial details on the quarter and also discuss our 2017 guidance. I am very pleased with our company's second quarter performance, including core revenue growth, adjusted EBITDA and operating cash flow. In the second quarter, we increased our core product revenue mix to a record 73.1% compared to 60% a year ago, and a 110 basis point increase from the first quarter. Adjusted EBITDA was $10 million, nearly twice the first quarter result. Cash flow from operations was $6.5 million, including $16.5 million of operational cash flow, which improved by an impressive $23 million year-over-year, demonstrating significant progress our company has made, both operationally and in working capital management. We ended the quarter with over $50 million in liquidity, driven by our second quarter cash flow result and the proceeds from private placement and refinancing completed at the end of June. Overall, our turnaround plan is on schedule. Revenue of $218.1 million reflected our team's continued focus on growing core revenues, which are our most-profitable therapies and shedding of our less-profitable non-core therapies, including less revenue from UnitedHealthcare this quarter as compared to the first quarter. During the second quarter, we increased the number of immunoglobulin or Ig therapy stocks by 15% compared to the first quarter, and grew total core revenue by 2% sequentially from the first quarter of 2017. These factors all contributed to a more profitable revenue mix in the second quarter, and coupled with continued supply chain improvement, drove our gross profit margin to a record 31.3%, a 120 basis point increase from the first quarter and a 370 basis point increase year-over-year. These improvements were despite that $6 million negative impact of Cures on our revenue and gross profit. More on Cures in a moment. Our team continues to uncover areas for improvement in our supply chain, and these efforts are generating cost savings ahead of our original expectation, with annualized supply chain improvement since the Home Solutions acquisition nearing $20 million. Improved partnerships with strategic suppliers and our team's focus on formulary compliance is yielding great results for BioScrip. We see even more opportunities in these areas over the coming quarters. Our focus on controlling operating expenses was also an important contributor to achieving $10 million of EBITDA in the second quarter, as total operating expenses decreased by $2 million from the first quarter, driven by continued optimization of our workforce and improvements in bad debt expense as a result of improved cash velocity. These workforce rationalization efforts, combined with productivity initiatives, have created a 15% leaner and more effective BioScrip workforce. We will continue to implement initiatives to drive productivity and effectiveness throughout our organization. Now turning to some other areas of interest. Starting with the recent progress on the Cures fix. As you know, the 21st Century Cures Act significantly reduced the Medicare reimbursement rates on certain drugs without providing a service benefit until 2021. As a reminder, the Cures Act negatively impacted BioScrip's earnings by $24 million on an annualized basis, effective January 1, 2017. We have continued to work with the National Home Infusion Association and others to increase awareness in Washington of the unintended implications of the Cures Act on the critically ill patients relying on the impacted therapies. As a result, we were very pleased that on July 25, 2017, the U.S. House of Representatives passed H.R. 3178, the Medicare Part B Improvement Act of 2017, what I refer to as the Cures fix. This proposed legislation provides for transitional reimbursement for services beginning January 1, 2019. This bill is an important milestone towards improving Medicare patient access to home infusion therapies. The next step for the Cures fix is ratification in the Senate, where the bill currently sits. The Cures fix will be a significant improvement for patients, our referral partners and the healthcare system. I would also like to clear up some confusion surrounding recently proposed legislation that could potentially reduce reimbursement levels for certain home healthcare services reimbursed by Medicare. These legislative proposals do not impact home infusion or BioScrip reimbursement. Also, there has been recent legislation proposed that would potentially reduce 340B hospital drug reimbursement. Briefly, the rules seek to reduce the Medicare prospective payment reimbursement for 340B drugs to hospitals, not to contract pharmacies like BioScrip. Accordingly, none of this proposed legislation should negatively affect BioScrip. Turning now to our contract with UnitedHealthcare. As you know, except for retained nutrition in Medicare D patients, we expect to exit our other therapies with UnitedHealthcare by September 30, 2017. Our team, together with UnitedHealthcare, has developed and is executing the patient transition plan for the exited therapies. UnitedHealthcare has been an excellent partner throughout the transition. I would also like to note that during the second quarter, we began making adjustments to our infrastructure reflecting anticipated lower levels of UnitedHealthcare revenue. Finally, an update on CORE initiatives' successes to date, CORE initiative opportunities in the future and a few thoughts on the dynamic home infusion market. Our CORE initiatives are yielding great success to date, increasing core revenue mix, driving operational efficiencies, accelerating revenue collections and increasing employee effectiveness, engagement and empowerment. As I mentioned earlier, we are on our way to our goal of 85% core revenue mix, posting a record 73.1% core mix in the second quarter, ahead of our internal expectations. Operating efficiencies are also on track, and we will achieve the previously communicated $40 million of annualized Home Solutions synergies and other cost improvements. Our revenue collections accelerated in a meaningful way during the second quarter, and our team collected a record 92% of April revenue within 90 days and also collected 3 times more patient-pay dollars in June as compared to January. Engaged and empowered employees were responsible for our improved performance in the second quarter and will be our key to our success in the coming quarters and years. Looking ahead, BioScrip has many additional core levers to drive improved operating results in the future. We are starting to accelerate on certain initiatives, for example, optimizing delivery processes, increasing utilization of our ambulatory infusion suites and enhancing efficiencies in our intake verification and authorization processes to reduce waste, accelerate cash flow and improve referral source and patient satisfaction, the list goes on. BioScrip is the largest independent pure-play home infusion in a $12 billion U.S. market growing at 5% to 7% annually. Home infusion today represents approximately 10% of the total U.S. infusion market. And we believe we are well-positioned to capitalize on further home infusion market expansion, as healthcare transitions out of higher-cost settings into the home, which has lower costs, better outcomes and higher patient satisfaction. BioScrip has the infrastructure and the team in place to execute on this large and exciting opportunity. I'd like to now turn the call over to our CFO, Steve Deitsch.
Steve Deitsch: Thank you, Dan, and good morning, everyone. My prepared remarks will include additional information on the company's second quarter performance and 2017 guidance. Revenue from continuing operations for the second quarter of 2017 was $218.1 million compared to $232.5 million in the second quarter of 2016, a decrease of $14.4 million or 6.2%. This revenue decrease resulted from the company's shift in strategy to focus on growing its core revenue mix, the impact of the Cures Act and contract changes with UnitedHealthcare, partially offset by the accretive impact of the Home Solutions acquisition and core growth. Our revenue mix is currently 73.1% core and 26.9% non-core, with core mix increasing 13 percentage points above our 60.3% core mix from a year ago. Core product mix also increased 110 basis points sequentially from the first quarter of 2017. Gross profit margin for the second quarter of 2017 was 31.3%, a 120 basis point improvement compared to the first quarter of 2017, driving a $2.7 million increase in gross profit dollars. This improvement reflected the continued positive impact of increased core product mix and supply chain improvements, which also resulted in a 370 basis point improvement over the second quarter of 2016. Operating expenses were $58.3 million for the second quarter of 2017, a $2.1 million or 3.5% decrease compared to the first quarter of 2017. This reduction was driven by increased expense controls, including lower labor expenses of $2 million and $900,000 of lower bad debt expense resulting from improved collections. Adjusted EBITDA for the second quarter of 2017 was $10 million compared to $5.2 million in the first quarter of 2017 and $10.4 million in the second quarter of 2016. The increase from the first quarter of 2017 was driven by improved gross profit margins and lower operating expenses. Adjusted EBITDA was approximately in line with the prior year, with higher gross profit margins and lower operating expenses, the result of CORE initiatives, offsetting the $6 million negative impact from the Cures Act. Restructuring and integration expenses totaled $3.9 million for the second quarter and $7.1 million year-to-date. These costs primarily reflected redundant labor and severance costs related to the 15% leaner and more effective BioScrip workforce. Labor savings are one of the key contributors to the $6.8 million or 10% reduction in operating expenses in the second quarter of 2017 as compared to the fourth quarter of 2016, the first full quarter of operations including Home Solutions. Net loss from continuing operations, net of income taxes, was $28.7 million for the second quarter of 2017 compared to $8.3 million in the second quarter of 2016. The $20.4 million increased loss was primarily the result of $13.5 million of noncash debt extinguishment losses related to the refinancing, increased interest expense of $3.3 million due to higher levels of debt outstanding and $2.7 million higher noncash depreciation and amortization expense, primarily related to the Home Solutions acquisition. Cash flow from operations for the second quarter of 2017 was $6.5 million, including $16.6 million of operational cash flow, partially offset by $10.1 million of interest payments. The $16.6 million of operational cash flow compared to a $6.5 million use of cash in the second quarter of 2016, represents a $23.1 million improvement. Cash flow used in operations for the first half of 2017 was $4.1 million, including $22.6 million of interest payments, partially offset by $18.5 million of operational cash flow. The $18.5 million of operational cash flow compared to $1.6 million in the first half of 2016, represents a $16.9 million improvement. The company's cash balance increased $24.6 million during the second quarter of 2017 to $40.5 million. The increase was the result of $6.5 million of positive operating cash flow, $15.7 million from the private placement, $5.6 million of additional net proceeds from the refinancing, offset partially by capital expenditures of $2.6 million and $600,000 of other non-operating uses. Total liquidity at June 30, 2017, was $50.5 million, which included $10 million of additional borrowing capacity under our new senior credit facility. Our new senior credit facility, closed at the end of June, effectively eliminated debt maturities for at least 3 years. Our revised capital structure and improving liquidity and operating performance gives us the means and flexibility to complete the turnaround of BioScrip. Now I will provide some information on our guidance for 2017. We are updating revenue guidance to fully incorporate the expected impact of our previously disclosed contract termination with UnitedHealthcare, as well as our updated agreement with UnitedHealthcare, whereby BioScrip is retaining certain core therapies. Taking these factors into account, our updated 2017 full year revenue guidance is $815 million to $835 million. We are also updating our expectations for 2017 restructuring and integration expenses. We now anticipate $11 million to $12 million in restructuring and integration expenses, and this outlook now includes estimated costs related to the terminated contract and updated contract with UnitedHealthcare. The company is reiterating its prior year full year guidance of - excuse me, its prior full year 2017 guidance for adjusted EBITDA in the range of $45 million to $55 million. That concludes our prepared remarks. Operator, we will now open up the call for questions.
Operator: [Operator Instructions] And your first question is from Kevin Ellich with Craig-Hallum Capital.
Per Erik Ostlund: This is actually Per filling in for Kevin today. The number that I think maybe jumped out the most, and I know Steve, you spent some time talking about it in your prepared remarks, but the operating cash flow, I think, was [Technical Difficulty]
Dan Greenleaf: Per, we lost you. Operator?
Operator: Okay. Hold on one moment. [Operator Instructions]
Per Erik Ostlund: Take two. I wanted to come to the operating cash flow or actually, maybe just cash flow, in general. The performance here in the quarter was excellent and ahead of our expectations. I'm just sort of curious as to how you're sort of framing expectations internally. Now that you have had the operating cash flow positive in the quarter, is that what you expect really as a - as sort of a permanent condition going forward? I know things can bounce around a little bit, but just looking for sort of your updated thoughts there.
Dan Greenleaf: Yes, I mean, if you really look at the things that drive that Per, number one is core. It's the increase of the percent of profitable therapies that are part of the overall company therapy mix. So that is only going to be enhanced. Secondly, we've made tremendous progress on revenue cycle management, as we mentioned, nearly a 92% collection rate in April. And I don't see that slowing down. I think we made a lot of process, workflow and people improvements in that area. And so I would continue to expect that we're going to see ongoing improvements in our revenue cycle management function. Supply chain also played a big role in this. And as we mentioned in our remarks that approximately - originally, I think we thought that the supply chain savings between Home Solutions and BioScrip was in the neighborhood of $3 million. We're at $20 million right now. As we mentioned, we expect to see that even improve over time as well, Per. And then lastly, and I think I made this clear from the time I've met you and others on the phone here, is that we're going to keep our labor expenses in check, and we're going to keep our labor expenses in a place where it's appropriate for a healthy organization. And so if I think about those four areas, core, revenue cycle management, supply chain and just expense/labor control, I really only see those things continue to get optimized over time, Per.
Per Erik Ostlund: Excellent. Let me follow-up to a couple of the things that you just said there, Dan. As it relates to the cost savings and synergies, you've articulated the $40 million between Home Solutions, between the cost savings activities. You've also clearly articulated that you see opportunities above and beyond that. But just want to make sure that when you're talking about $45 million to $55 million in EBITDA this year, we're contemplating the $40 million that you've been out there saying so far and that anything that you generate above and beyond that, be it this year or over time, is purely additive to that. Is that correct?
Steve Deitsch: Yes, Per, this is Steve. Thanks for the question. And the $40 million of Home Solutions synergies and operating cost savings is embedded in our guidance for $45 million to $55 million. And some of the things that Dan articulated, including continued improvements in delivery, continuing optimization in intake verification and authorization, for a couple of examples, we believe those will continue to drive further operating cost synergies and control for us in the future and also optimize our operations. But those are - those take a little bit longer to materialize. And we're very comfortable with our guidance range for this year of $45 million to $55 million. And we believe that the continued synergy and cost savings can continue as we move into 2018. But we're not ready yet to talk about specifics for 2018.
Per Erik Ostlund: That's completely reasonable. All right. One more quick one for me. Just wondering if you have an update on some of your managed care contracting efforts. I know that this has been a focus for you guys, identifying some pricing increase opportunities and that - maybe there had been some realized, some sort of out there. I know there's - you're probably not going to get everything you ask for, but curious as to just the status of things there.
Dan Greenleaf: Yes, I think because I haven't said anything specifically about this, Per, but I can just share with you that we're making, I think, very substantive progress in this area. And we've had several favorable negotiations with certain payers at this point in time. And we would expect to see those continue to fold in over time. I mean, it is a area of focus that we're getting paid fair market value for the services we provide. And that will continue to be an area that we are going to put a lot of emphasis on as a company, Per.
Operator: Your next question is from Brian Tanquilut with Jefferies.
Brian Tanquilut: Dan, first question. You guys did a really good job on gross margins this quarter. So just wanted to see what your thoughts are in terms of your ability to generate additional leverage and then what else do you think you can get out of the supply chain as we get into the back half of this year and next year?
Dan Greenleaf: Yes, again, I think you've - thank you, Brian, for the question. So I think you've already begun to see the impact of core on our gross product margins. And if I look at what are the things that are really going to drive our gross product margin, it's three things. Number one is having a higher concentration of core. Number two is, as you highlighted in your question, improvement in supply chain. And three is, which Per referred to, is our managed care contracting. And there's, frankly, Brian, I don't see any reason why we won't continue to see improvement in this area. I mean, there is nothing that suggests that, that number won't continue to improve over time.
Brian Tanquilut: Got it. And then, Dan, as I think about the guidance and where we are year-to-date on earnings trend. How should we think about the drivers of sequential EBITDA growth as we get into the back half of the year? I mean, what do you think will be the buckets that will be the biggest drivers of those things?
Steve Deitsch: Brian, it's Steve. When you think about our outlook for the rest of the year and our guidance of $45 million to $55 million, it's really composed of three things. And without going into quarter-by-quarter how it develops, but there's an increase in our underlying revenue on a core basis, unrelated to our contract with UnitedHealthcare. So our other product therapies outside of UnitedHealthcare, we expect to see those core lines continue to increase as the year moves forward. We also expect to see improvements in our gross profit margin as the year moves forward and continued control and optimization in our operating expenses. So that - it's really a combination of factors. And those three things will start to unfold even more so than they did in the second quarter. And you'll see the drop-through get us into that EBITDA guidance for 2017.
Brian Tanquilut: Got it. And then last one from me, Steve, just a follow-up on cash flows. As we think about cash cost of restructuring in the second half, how should we be modeling that?
Steve Deitsch: So we've got about - we still, of course, have our bond interest payments, which are just under $9 million on a biannual basis, paid in the third quarter and also in the first quarter. And then we also have cash interest on our new senior credit facility, which I think you can think of that as about a $7 million number per quarter.
Dan Greenleaf: I think he was asking about the restructuring cost, Steve.
Steve Deitsch: Oh, restructuring cost - sorry, I thought you had asked about interest - cash interest. So restructuring cost, our guidance of $11 million to $12 million assumes modifications to our infrastructure and optimization of our processes, as we transition out of certain product therapies with UnitedHealthcare. And those will - when you think about the timing of those, those are in both the third quarter and the fourth quarter, but more heavily weighted towards the third quarter.
Brian Tanquilut: And that will be all cash in that amount, right? That it's a cash charge in other words.
Steve Deitsch: That's right. That's a cash charge.
Operator: Your next question is from Marc DuBois with Venor Capital.
Marc DuBois: Just a couple of questions. So I know you guys talked about - in terms of the back half of the year, and you guys have kind of talked about the revenue trajectory margin and the cost levers that you guys are pulling. When we think of the $45 million to $55 million of EBITDA guidance, like - I know you guys have talked about the factors to get there. But like how much of a stretch of it to get to the high end of that guidance because I know you guys have kind of kept that the same.
Steve Deitsch: Hi Marc thanks for the question. When we think about our guidance, it's very you know we've got levers to get above 50 million and there's things that could keep us below 50 million in that 45 to 50 range. And the way we think about it is, there's you know we've got equal probability to do above 50 million and just below 50 million. So in terms of probabilities or anything like that I don't really want to go to into detail on that other than the range is wider from 45 to 55 because we've got a lot of transition going on with United Health Care, a lot of the margin improvements that we're casting are somewhat hard to predict at times as well as just revenue generation. So we went through a pretty detailed planning process as we completed our outlook for the full year and there's you know it could up you know we think 50 million is the right midpoint and there's opportunity to get above that. And there's also an opportunity to be slightly below that. So that's why we're keeping the range.
Marc DuBois: And then a separate question on Cures? What's the right way to kind of bracket the EBITDA uplift for ’19 if all goes well and it passes the Senate? And I guess how are you guys thinking about the legislative vehicle to attach it to.
Dan Greenleaf: So could you ask that question again, Marc?
Marc DuBois: How are you guys thinking about bracketing the EBITDA uplift in 2019 assuming it passes the Senate? And I guess the sub question is, how are you thinking about the legislative vehicle that it attaches to?
Dan Greenleaf: Well there's probably three or four legislative vehicles, Marc, that we're looking at. And I think all of those have different degrees of if you will likelihood. And so I’ll just leave it at that right now because it's you know I feel though very positive this is going to happen this year. And so I’ll - I think that’s what’s most important just given the progress we've made that we've gotten through the house, the bill is on the Senate floor and that I'm very optimistic. Now in terms of how we’re bracketing the EBITDA right now, Marc, there's a couple things to think about. First of all and foremost, the transitional payments have not been fully established. Now that being that, Marc, when we look at what's been proposed that’s in the 21st Cures Act and look at the upper payment limit which is in the 21st Cures Act, our estimates are that we’ll likely get two thirds of that back and that's where we're landing right now. So somewhere in kind of the $16 million range, Marc.
Marc DuBois: Got it, two thirds of the 24 million lost?
Dan Greenleaf: Correct.
Marc DuBois: Okay. Got it. And then one last question, just on housekeeping. What would EBITDA have been without Cures? I think you mentioned it was $6 million drop-through?
Dan Greenleaf: It would have been - I think it would have been, frankly, $16 million, Marc. So we would have had a banner quarter and - so, yes.
Operator: Your next question is from Andrew Seidel with SKY Harbor Capital.
Andrew Seidel: Echo earlier comments on the solid execution for the quarter here, well done. Two questions, really both relating to core revenue growth. And I guess the first one is, if you can break out what the contribution to revenue or core revenue is from Home Solutions, as we try to better understand kind of what the organic revenue growth rate is there?
Steve Deitsch: So Andrew, so we don't really - we haven't disclosed the individual components of Home Solutions versus BioScrip legacy. And in fact, it's difficult to even do that anymore, because we've consolidated a number of operations. So we don't really think about it or look at it that way any longer.
Dan Greenleaf: I think what's important, though, a couple of things we talked about, Andrew, is number one, we saw a 2% sequential core growth quarter-over-quarter. The other thing I'd also emphasize is the improvement in our immunoglobulin therapies as well, it's 15% quarter-over-quarter. So what I would point to is that we're continuing to see very solid progress in our core therapies quarter-over-quarter.
Andrew Seidel: Fair enough. And Dan, a little loftier question, just on the strategy going forward. Maybe you can comment on the competitive environment with home infusion versus more specialist in-office infusions and the dynamics there and whether you see that as a viable competitive threat? And I guess, what the strategy is to address that?
Dan Greenleaf: Well, I guess, I would say, Andrew, that that's been out there forever. I mean, doctors have been infusing in their offices. And if you look at the breakdown, I'd just like to point this out. We see, and I referenced this a little bit in my comments, that it's about a $90 billion infusion market. And 40% of that's still done in the hospital; you've got about 30% done in physician offices and about 20% in skilled nursing facilities. And then you've got, what's left goes into the home infusion business. And when I look at those other three pieces where service is being provided, there's three things, I do know. Number one, we're less expensive; number two, we're safer and we get better outcomes; and number three, patients prefer to be seen in their home. So if I look at what I see the opportunity as is that I see the opportunity that, for example, hospital infusions are more and more likely, in my opinion, to be going home. Skilled nursing facility infusions are more and more likely to be going home. And I believe the same is true for the physician offices. And there is a lot of good reasons for that. Certainly, when we look at readmission penalties and you've got - I know some facilities on the West Coast that paid $60 million in readmission penalties. So I guess my point in all this is, I see only opportunity in that we've only scratched the surface of what and where patients could be seen more appropriately. And we're seeing also our payers saying, hey, listen, we want to work with you in terms of accelerating those patients into their home, for the same reasons: You're less expensive, you get better outcomes and the patients prefer it.
Andrew Seidel: And I guess underpinning the strategy here, I know you moved the clinical liaison team under the sales force. As I understand, and correct me if I'm wrong here, but I guess part of the driver there is the in-hospital, or the discharge manager or the case manager who helps with that decision?
Dan Greenleaf: Yes, that's true. I mean, they play a big role in this, and that's why we've deployed more and more people into the hospital setting to make sure that we're being in a place where we can optimize the service levels at the institutions we call upon.
Operator: Your next question is from Dana Hambly with Stephens.
Dana Hambly: Dan, just staying on the sales force, there were some big changes, I think you basically doubled the size of that by moving the clinical liaisons over. How would you characterize your satisfaction with the sales effort right now? And how should we think about that core growth moving as a percentage basis? Is a kind of 110 basis points a quarter would be a pretty good outcome in your view?
Dan Greenleaf: So I think a couple of things there. We really haven't given guidance in terms of what we think our gross profit margin or our core percent is going to grow quarter-over-quarter. So I really can't comment on that, Dana. I will say this, though, that we're in the very early innings of our transition. And even from things like, which they really haven't done previously, Dana, was training the sales force, making sure that we have the right mix of account executives and clinic liaisons on specific accounts, to transparency, to accountability, to delivering results consistently. And we're in the early innings. And again, I was thinking about this - it's really interesting, Dana, because I was thinking about this yesterday, about when I was at Coram and our first year there and where we had - we integrated 21 branches, and we moved the liaisons underneath the sales function. And that year was a little bumpier, but it was - but we began to see the momentum, like we saw - we've seen in the second quarter, where we saw 2% improvement in our core therapies sequentially. And I feel very optimistic that, that percent growth is only going to continue to improve. And again, this looks like it's following a model very, very similar to what happened at Coram. And again, if you look at the compound annual growth rate for the five years I was at Coram, was 12.5%. And so I really think that we'll continue to get our footing, and we'll continue to see, I think, significant levels of acceleration in our core growth.
Dana Hambly: And Dan, you mentioned in your prepared comments, I think I had written it down, ambulatory infusion suites. Is that - remind me, that's not a huge - that's not a meaningful piece of the business right now? What would be the opportunity there? Or is that just sort of ancillary with all the other opportunities you have?
Dan Greenleaf: Yes, I think it's very significant. I think it was and is an underutilized asset, Dana. We have 51 of these across the country. And again, if you think about how do you optimize nursing. And if you and me and Steve are sitting in an infusion suite, one nurse can care for three of us, as opposed to one nurse caring. So we see this as a significant opportunity. And frankly, Dana, I wouldn't be surprised at some time in the future where over 30% of all our infusions are being done in a suite. And we've made tremendous progress in a very short period of time towards that goal.
Dana Hambly: Okay. And is there an issue with getting the payers to pay for that? Or is it getting the patients...?
Dan Greenleaf: No, not at all. I think it's - I think the bigger issue, has been my experience is just making sure that the patients know that this is an option upfront. Now if the patient has gone into the home, we have found it almost impossible to bring the patient into the suite at that point in time, Dana. But if you provide them the option upfront, most often they'll accept that as a choice. And so that's really the trick. And then the other trick, frankly, is to say between Tuesday and Thursday, just like the cable company does, between 9 and 12, when would you like to get your infusion done, instead of saying, hey, we've got five days. You come in between eight and five any of those five days. And again, that's been a very effective means of getting patients locked in to the infusion suites as well. But we're seeing - we're probably seeing, just candidly, Dana, our home infusion - we're up about 25% of patients we're seeing in the infusion suite just over the last four months.
Dana Hambly: Okay. I'm sorry, that 25% was up, not a percent of the total patients, right?
Dan Greenleaf: No, that's correct. 25% up over what we had historically done in our infusion suites.
Dana Hambly: Last one from me. Steve, just on the corporate cost, up about - I had $700,000, sequentially, is $9.6 million, I think, in corporate you did in the quarter. Is that a pretty good run rate into the second half of the year?
Steve Deitsch: Yes, I think it is. That's a good way to model it out. There's, as you might guess, a number of different factors going into that line. And part of that is variable compensation for our teammates, as we execute on these initiatives that Dan has outlined and the team has been executing to. So we believe that's a good run rate as we look forward.
Operator: [Technical Difficulty] it’s from Brooks O'Neil with Lake Street Capital.
Brooks O’Neil: I have a couple of questions. I was hoping you might comment a little bit about the UNH runoff and whether that's likely to be a Q3, Q4 phenomenon or more centered in Q4? And I guess related to that, clearly that runoff will have a meaningful impact on increasing the core mix percentage. And you've talked a lot about Ig and the sales force, but can you just highlight any other things you think you're doing proactively that will cause the absolute revenue in core to grow over the next few quarters?
Steve Deitsch: Hey Brooks. Thanks for the question. Good to hear from you. As you might imagine, this UnitedHealthcare transition is a complicated one because we're not only working with our internal teams, but we're working with a very helpful and professional team at UnitedHealthcare to transition and make sure that these patients receive great care in the future. And so as you look around the country and we go through the transition plans, we've got a dedicated team running it internally here. And it's pretty complicated. So it's - I'm hesitant to say it's going to happen this much in the third quarter and this much in the fourth quarter, because there is a lot of variability to the plans and they change a little bit as we look through and run the plans and meet each week as part of our transition team. So we do expect, obviously, the transition of all that revenue, other than what we've retained by the end of the year. But I really would rather not provide too much outlook on Q3 versus Q4. And sorry, what was your second question, Brooks?
Brooks O’Neil: So the other piece of it is, just anything you guys can talk about with regard to driving revenue growth in the core therapies. Obviously, mix is going to go up, but just really want to understand the things you have control over and that you're doing there?
Dan Greenleaf: Yes, so I think it's several things, Brooks. And number one, unequivocally, is having right people in the right seat and making sure that these people are trained and making sure that we're deploying the right level of resources on to our referral partners. And again, if we look back on what we've done related to our clinical liaisons, that's an example of that. We've also taken almost everybody in the sales organization through sales training, Brooks. So that's also we think will continue to be impactful to the organization. A couple of other things that we know that are important is incentive alignment, Brooks. And that's incentive alignment from the corporate team, incentive alignment at the sales level, incentive alignment at the revenue cycle level, particularly in the areas of insurance verification and authorization and incentive alignment with operations. And everybody has incentives that are tied to core growth. And I can't, again, emphasize how important that is. The other thing we also do, Brooks, as you know, is we're very transparent. There isn't a person in this organization or a branch in this organization that does not understand where they are relative to their goals. And we publish that every month, sometimes every two weeks. And again, I can't - this was something that had not been done historically at BioScrip. And so we're, as you know, we are very open to how we’re performing organizationally. So those are some of the things. The other thing I'd also say, and it goes back to our core, the core growth, operational efficiencies, revenue cycle excellence and employee empowerment and engagement. This communication around what the expectations is, and if you were to go to a branch, and this is one thing that Ary said to us that just kind of blew their mind, is that when they went to a branch, they said, I can't believe the alignment between what you say and what we're seeing in the branches. And so communication plays a significant role in that. Our field leadership plays a significant role in that. And our focus and our willingness to execute plays a significant role on that. And certainly, and not lastly, our improvement in our insurance verification and authorization times, because that ultimately is what drives referrals towards satisfaction, Brooks. So combined - if you combine all those things, and we know these are the best practices, that we can - frankly, I see no reason why that our core will not continue to accelerate as the year goes on.
Brooks O’Neil: You mentioned earlier in your comments, Ig therapy growth, which is great. Are there any other therapy areas or conditions that you might highlight that you think are big opportunities for the organization going forward?
Dan Greenleaf: I think it's really the other core therapies, Brooks. Again, I think it's the TPN, it's the antibiotics, it's the enteral, it's REMICADE, it's Factor, certainly Ig and also Orencia. So all those things, all those products, we see the opportunity to grow those over time at double digits, Brooks.
Brooks O’Neil: And then just one last one. Obviously, with the refinancing, you've improved your liquidity and the steps you're taking. As you think, not necessarily next quarter or before the year-end, but out over time, it looks to me like there may be some territories in the Western United States that could benefit from additional branches. And I'm just curious if you have any thoughts or reaction to that idea.
Dan Greenleaf: Yes, I'm all about manifest destiny, Brooks.
Brooks O’Neil: Go West, young man, right?
Dan Greenleaf: Exactly, if you look at where we are, there is a tremendous opportunity for manifest destiny. And we're certainly contemplating those things as we go forward.
Operator: Your next question is from Mike Petusky with Barrington Research.
Mike Petusky: I guess, one question I have. In terms of the UNH runoff, I'm assuming that between now and when the business that is going goes, that's a tailwind to EBITDA, right? That's EBITDA accretive, that business that goes?
Dan Greenleaf: Yes, I mean, I think - let me see how I should say this, Mike. We should see - our gross profit margin should be enhanced as a result of the loss of some of the United business.
Mike Petusky: Okay, all right. So that- is that a yes to my question or no?
Dan Greenleaf: I would say that's a yes.
Mike Petusky: Okay, all right. And then...
Dan Greenleaf: So I'm not trying to be dodgy here. I'm just - we're in the middle of an important transition, and I just want to be very conscientious about my comments.
Mike Petusky: Yes, absolutely. Okay. So then, I guess, Steve, the bad debt expense broke below or was below 3% of revs this quarter. Any either short-term, kind of back half guidance for bad debt expense? Or even what you think you can get to over the next couple of years, what's a reasonable goal there?
Steve Deitsch: Yes, that's a great question, Mike. And it's an area of real focus for Dan and I and the leadership team here. We're not satisfied with even 2.8%. We think there's opportunity to improve that through better processes on the intake verification and authorization side. And the company has historically been north of 3%. We think there is an opportunity to bring that down into the low 2 percentage point range. But it's going to be a process that will take some time to do that. We've been working on revenue cycle management process improvements, looking at end-to-end, where are we inefficient, where are we - where do we have processes that run in sequence instead of parallel? And we're in the - really - just really getting going on that, to be quite candid. And we think there's an opportunity to bring that number down as the coming quarters progress.
Dan Greenleaf: And just keep in mind, I think this is something else, Mike, just to point out. And again, this is not necessarily where I think it's going. But take a look at some of Coram's bad debt rates, if you got a chance. And we were in the 1% to 1.5% range. So now, I admit at the time, we had a best-in-class revenue cycle management team, but at the time, it also started in the 3% range, maybe higher. So I certainly believe there is lots of opportunity to improve our bad debt rates, I just know it. And if you look at what we're doing on the patient-pay side, that's going to have a very favorable impact on it. And we already mentioned just how much our - there's been improvement in what we're collecting in the first 90 days. That's going to have a significant improvement on it. And so, again, I am very optimistic about what we can possibly do on that front. And it's all workflow, it's all processes, it's all people and it's all metrics. It's not - it's really just making sure that we have this level of focus every single day.
Mike Petusky: And just somewhat related to that, do you guys have the payer mix for the quarter? I mean, I think, I know it in broad strokes, but do you, by any chance, have the exact payer mix for the quarter?
Dan Greenleaf: Well, we don't, Mike. But I will say this, and I think this is really important, as people look at the home infusion industry as an investment. We have very little risk associated with CMS. And again, if you look at home health, if you look at RT/DME and you look at the other businesses, we are just a fraction of risk compared to - and somebody had sent me a note, they called it, I think, pen-stroke risk. I think that was a comment I got from one of our colleagues on the phone. And one of the beauties of this industry is we have so little of that, while I look at other investment opportunities that I think are far more riskier, like RT/DME and like home health.
Mike Petusky: And then just last one, Steve. Is there any reason that you guys shouldn't be generating free cash kind of on a go-forward basis at this point?
Steve Deitsch: That's our objective, is to be free cash flow positive and continue to maintain this $40 million-ish cash in bank. There's going to be some ebbs and flows based upon timing of activities. But you're right, Mike, I mean, the business we think is reaching an inflection point with the gross margins and our management of labor and just revenue cycle improvement. That's our goal.
Operator: Your next question is from Marc DuBois with Venor Capital.
Marc DuBois: My question was just asked, so all good at my end. Thanks, guys.
Operator: And at this time, there are no questions.
Dan Greenleaf: Okay. Well, just then we thank you for all joining today. Obviously, we are very pleased to have solid momentum in the execution of our plans. And we look forward to updating you on our continued progress. Thank you.